Patrick Berard: Good morning, ladies and gentlemen. Welcome to join us this morning, and thank you to be either online or by phone. I am with Laurent Delabarre, our Group CFO, that you know well. Let me say in a nutshell that Rexel continues to boast a very strong performance, especially despite certain ongoing uncertainties regarding the health situation and all the up and downs that comes almost every week. As already said and demonstrated by our recent upward revision of our full year outlook, Rexel’s model is strong and has been strengthened and continuously prove its ability to serve customers whatever the different conditions are. All the investments that have been made over the past five years are now bringing all ingredients of the results, investment in people, investment in inventories, investment in branch openings, investments in IT and digital have all proven to be relevant and are all pieces of the puzzle to continue to have transformed Rexel into a much more robust company. This company is able to navigate in most of the environments and especially the two consecutive acid tests that we are just coming or we have been coming out or are going through, the 2019 pandemic recession as well as the uneven recovery phase. Our strong results and clearly expressed strategy makes me fully confident in Rexel’s future, especially at time as I prepare to hand over to Guillaume Texier who, as you know, will succeed me as CEO on September 1. Although he has not yet started officially, Guillaume has already begun diving into Rexel and is actually with us today. And before we come back to the results in a regular way, I would like to give him the floor so that he can share a few words with you. Guillaume, if you don’t mind, could you please give a few words to the audience?
Guillaume Texier: Thank you very much, Patrick, and hello to everyone. I’m very glad to be with you today, but obviously, let me stress that this is really a Rexel earnings call, and I’m not officially in my new position. So I will simply make a few brief remarks to introduce myself and share a few thoughts and then I will hand back to Patrick and Laurent to focus on Rexel’s excellent first half results. Let me first begin by thanking Patrick. The handover process is – was and is of very high quality and the fact that I was asked to join this call and able to do that, even before assuming the role of CEO on September 1, is a testament to that. I have already met key people and already visited operations in some countries, and I can say that my first impression confirmed what I knew and felt instinctively, which is that Rexel is a very strong company with great teams, and it is well positioned to live up to its baseline of leading the bright future of electrical distribution. I’m sure you saw the announcement on the CEO transition back in the spring, so you know my biography. But let me just tell you in my own words who I am. I have spent most of my professional carrier in one company, Saint-Gobain, but in various activities, mostly operational; and various countries, including the U.S., Canada and Europe. I was also Group CFO for a couple of years. Through Saint-Gobain, I developed a strong experience in the construction market and B2B distribution as well also as the deep knowledge of industrial processes. In my last role as Senior VP, CEO, Southern Europe, Middle East and Africa, I was managing a business that is roughly the size of Rexel in terms of sales and which includes a quite important activity of B2B distribution in France. And in this last position, I also oversaw during the last 2.5 years, a deep transformation program that was quite successful in terms of mindset, growth and margins. Let me also say a few words on why I’m here. I was not really looking for a change, to be honest, but when the opportunity came, I was immediately interested for four main reasons. First of all, I knew and followed Rexel as a benchmark, especially in the digital and logistics space. Secondly, I am very involved in the energy efficiency and sustainability space in which my previous company was also very active. And I believe that the markets in which Rexel are positions offer major opportunities. Third, I think Rexel has improved a lot under Patrick’s guidance, but it can probably do even more. I am in total agreement with the objectives announced at February CMD, and I am quite excited by the challenge and the opportunity to push the transformation of Rexel even further. And finally, I think I can bring something I know B2B distribution. I know Europe and the U.S. I’m very familiar and engaged in the energy efficiency topics. So I have experience in many topics and geographies that count for Rexel, but I am also able to bring a fresh perspective to the company and to add, hopefully, to what Patrick and Rexel’s team have done very successfully over the last few years. I’m very impressed by Rexel’s first half results, which shows the strength of the company and the relevance of its strategic choices. So I start with a very sound base on which to build, and I’m really looking forward to getting started soon and getting to know all of you in the coming months. But for now, let me hand back to Patrick, and thank you very much, and have a great day.
Patrick Berard: Thank you very much, Guillaume. For now, let’s turn into our H1 performance. I will start this call explaining how we are adapting to the current environment, how we have managed to outperform the market even in a disrupted environment somewhat. Laurent will then take our Q2 sales and first half financial performance in a detailed mode, and then I will come back for some closing remarks, and collectively, we will be happy to take your questions. Let’s go to Slide 3. With the key highlights of Rexel’s Q2 and H1 performance, and as you can see, it demonstrates the strength of the model. H1 was clearly marked by strong volume growth in Europe and differently by positive pricing in North America. And despite navigating through certain related to product availability that are currently impacting our customers in their day-to-day lives. In that context, I am proud to say that our H1 numbers clearly show that the strong focus put on customers, which have started a long time ago, is definitely in Rexel’s DNA. Whatever the environment was, we did everything we could to make sure they got good services. And all – in every country, all the teams have put their energy in making sure that Rexel would be able to ensure business continuity, and I’m sure it has been a clear differentiating factor versus some competitors, leading to market share gains in our key countries. The results are fully reflected in the evolution of our Net Promoter Score, and you know how much we have insisted on it over the years so that we got an increasing, and we are used to say with Baker in the U.S., margin is a function of service. And when the service is through Net Promoter Score going up, this is the base by which we got increasing results, and this has materialized during this first half in the top line figures but also in the bottom line. Indeed, our sales accelerated very sharply in Q2, up 32.3% versus the same period last year, but because last year is not always a reference, it’s also above the precrisis level with 9.6% growth over Q2 2019. This growth was driven by continued strong demand in proximity, and you know the business of proximity is one of the pillar we have worked deeply over the years. We also saw a pickup in activity in industry, and it was further boosted by a higher pricing contribution in the quarter. A very positive factor was North America’s return to precrisis level in same-day sales, so far, heavily through strong pricing contribution and robust demand in local and proximity mode. Restated for the positive price contribution, we clearly see further room for recovery in North America as volumes remained 15% below their Q2 2019 levels, but going up regularly. This very strong sales momentum, coupled with our increasing digital penetration, pricing management and OpEx initiatives resulting in a very strong growth in our profitability. Therefore, adjusted EBITA margin in H1 grew by 232 basis points at 5.6%. Lastly, the model is now highly cash generative. Our strong cash flow allowed to continue deleveraging, and we are now in a position to reach a leverage ratio of between 1.5 times and 2 times in 2021, somewhere in this range, depending on what M&A opportunities may materialize. If you go to the next slide. Let me return to this highly volatile and disruptive environment we are really working in and that we are daily currently facing, including the scarcity of product, which is on everybody lips and as I have already described and the acceleration in price increases and uneven market trends. These are the elements of volatility we need to manage on a daily basis. Let me start with the price increases. They’re really starting in Q1 this year. They have accelerated in Q2. While it is a challenge in certain countries to pass on pricing increases immediately, we really put a lot of focus and a lot of expertise in limiting the margin squeeze, thanks to intensive sales training, and leverage our tools and people management. It has been a huge focus, successfully done despite a few slight delay in pass-through. The second disruption that is – that we manage on a daily base is related to the scarcity issues that increased during Q2 with a longer time lag in supplier delivery. It’s not that there is no product. It’s simply that the delivery of our needs is just increasing in terms of weeks and weeks and weeks under 10x. And therefore, we put all our efforts into ensuring business continuity for our customers by leveraging different initiatives. First, we brought our expertise to support our customers in order to have them find alternative products when needed. If product A, B or C is not available, how could you use C and D in order to resolve and to fully get your need satisfied. And it take a lot of expertise, product knowledge, interchangeability and sometimes moving from brand A to brand B. More specifically, I’m happy that we maintain our different banners in the U.S., and our banner in the U.S. have always a dominant supplier. Having several banners, we are rich of this diversity in banners so that we allow our customers to always find maybe sometime swapping to different suppliers when product were missing, and we never let them down. Second, we focused on supply chain planning in order to anticipate our need as much as possible. We are giving our suppliers a very fine-tuned anticipation needs on the most difficult and the most sensitive scarcity problems. In working very closely with a lot of data as we have structured them over the years, we are able to be really, really on our toes on both sides, supply and delivery. Lastly, we collaborated with our suppliers to find new products to be launched and sometimes I’ll give you an example. When wood is not available and cable is needed, cable drum in Europe, it’s in wood, wood cable drum, and because it’s so expensive that it was even sensitive to a lot of customers, we decided to have a very active move toward recycled connected drums, so then we know exactly where they are, how to get them back, how to get multiple delivery out of one of these drums. And this is a change probably in habits. It’s a change in the way, we as a distributor, we are contributing to reduce the problem of scarcity or not getting enough of a subcomponent in order to get the main component reaching out to the market, just as an example. Lastly, let me say the following. When end markets are very positive, and we’re clearly diverging trends between markets and regions, it’s not equally spread. Proximity in the quarter, largely driven by renovation activity, has been a strong growth driver. But we see also a very good sign of improvement in industrial demand. And at the same time, larger product activity spending are still subdued in many geographies, and there is more to come. As much as there is more to come out of the entertainment, hotel and restaurant markets and a few more of these collective public activities, which has just recently restarting, and we see that now in the U.S. and, gradually speaking, in Europe. Therefore, there is further demand to come even if there are this impact of the current difficulty also for our customers, not just to find products, but in some regions to find appropriate workers to address rising demand, which add to certain suboptimization issues that we need to face. Workers not crossing certain – coming from country A to B is limiting certain markets, and we hope that with the vaccine pass, this will lift up in the second half of the year. Overall, the priority is to adapt, to adapt quickly by allocating appropriate resources to address these positive trends because they are many now even growing but also to be agile with procurement in order to cope with change in product mix and manage increased usage of web and telephone. Now to the next page, and this page for me, these blocks and the numbers. And allow me to read through not only distributor grow, but it grows sometime at cost of margin. Here, we grew and we grew the margin percentage. It’s, one, not at the cost of the other. There is inflation in there, but there is also a lot of pricing, a lot of margin due to the service, and this is what I like here is that we grew in volume without deterioration of gross margin to the opposite. You see 59 bps higher than in H1 2019. In doing so also, we grew almost by 100 bps, 99 bps our EBITA margin, and in the middle of it, we have all the OpEx and the structural OpEx that has allowed this to happen. Meaning, we grew without margin deterioration to the opposite but also with a much lower OpEx base in order to get this EBITDA margin. And normally, when we grew, it goes against the free cash flow. There is always more cash needed for the growth, and we have done it with tight management of our inventories, with tight management of our free cash flow usage. Therefore, here, this is what I call the virtuous circle of the model of today. Thanks to digital, we have been able to address certain OpEx reductions, but also thanks to the data, we are really fine-tuning to the point of being more effective in the cash usage in the margin management, in the assortment for the growth as well as in the OpEx deviation if any, would show up. This is the virtuous circle in which we have been entering into but now fully materializing. And as a result, no need to tell you that this is the lowest debt since a long time, if not since the pandemic, and the lowest debt net ratio since the IPO. And now we are today having a 1.76 times which in the absence of M&A opportunities, and nobody knows how this could turn into the second half of the year, we anticipate to be close to 1.5 times at year-end. Before we go into somewhat more detail in order to quantify this Q2 acceleration in Europe and North America on Page 6, you have the curves, and you have versus Q2 and versus Q2 2020 and Q2 2019 at group level, how the same sales day growth, now it’s growing 9.6% versus 2019 and 32% versus 2020. But you can see the huge difference between Europe and North America, North America being mainly price and inflation driven and volume now coming and will help the rest of the year because we see the volume coming back. And Europe, having had a lot of volume and now inflation coming because we know what kind of the price increase we would have to apply or we are applying since July 1 on higher volume growth that has been started earlier. The combined of the two in a very different mode allowed us to envisage the full impact it has been described, and I will come back to it at the end of the presentation. Now I hand over to Laurent so that he can give you more detail on our H1 and Q2 results.
Laurent Delabarre: Thank you very much, Patrick, and good morning to everyone. Let’s turn to Slide 8, where you can see the geographical breakdown of our sales, both in Q2 and in the first half. In Q2 2021 specifically, same-day sales were up 32.3% compared to a minus 17.7% in Q2 2020, the steepest drop in sales during the pandemic. The situation will start to normalize from Q3 2021 onwards. Let’s now look at each geography in greater detail. On Slide 9, we look more closely at our performance in Europe. Overall, sales in our biggest region stood at €2.15 billion in the quarter, up 37.8% on a same-day basis compared to last year and up 15.2% versus Q2 2019, boosted by both volume and price. I will make the comments by country in the following comparing to Q2 2019 performance so that we neutralize the pandemic effect. In our home market of France, which accounts for close to 40% of our European sales, our revenue rose 17.2% versus Q2 2019, thanks to a strong ability to ensure business continuity for our customers, which translated into market share gains since the beginning of the year in all our three end markets. Sales in Scandinavia were up 14.9% versus Q2 2019, with Sweden driven by renovation in residential, residential, large commercial key account and industrial recovery. Finland posted positive trends in small C&I and industry. Sales in Benelux were up 13.7% versus Q2 2019 with Belux up 12.4%, fueled by strong demand in cable products and EV products offsetting lower sales of PV product as subsidies in Flanders indeed. The Netherlands were up 15.5% versus Q2 2019, largely driven by residential and industrial businesses. Sales in Germany were up 32.7% versus Q2 2019 from strong demand in the proximity business and accelerating growth in industry, especially in automotive and metals. Sales in the UK accelerated versus Q1 and are almost back to precrisis level at minus 1.6% versus Q2, largely driven by the residential market, while industry and commercial remained below the 2019 level. And especially our proximity banner called Denmans was up 20.7% versus Q2 2019. Sales in Austria was strong at plus 75.6% above 2019 from strong market share gains in a well-oriented proximity market. On Slide 10, we turn to North America. As the graph shows, trend has been broadly similar in the United States and in Canada, both accelerating versus Q1 with Canada slightly ahead of the U.S. By country, sales in the U.S. were up 28.1% compared to last year and almost back to the precrisis level at minus 0.8% versus 2019. They were largely helped by favorable pricing contribution on the vast majority of products and by further positive momentum in our proximity business as well as lower sales decline in project business despite greater selectivity. In Canada, sales were up 5.3% versus Q2 2019 improving over Q1 2021 from positive pricing on cable and non-cable products as well as better commercial and residential activities, offsetting lower demand in industry, especially in the western part of the country. Let me also tell you that the integration of newly acquired utility business is now completed. Slide 11 focus more specifically on the U.S. and show that the very uneven recovery passed by region with sales evolution ranging from roughly minus 22% plus to 29% versus Q2 2019 with varying trends mostly impacted by diversity of mix in our regions. This leaves us room for recovery, especially in large projects and in the industrial end markets. Very clearly, we can identify two blocks of region balancing each other. On one hand, four regions showing very strong resilience, Northwest, Mountain Plains, California and Florida, driven by our strong positioning in the proximity business and market share gains in region where we have invested. Pricing contribution has been strong everywhere and more specifically in the Northwest. On the other hand, another block of four regions that are facing more challenging situations, Southeast, Northeast, the Midwest and Gulf Central, which are impacted by the exposure to project business and, more specifically, heavy industry and oil and gas. In those region, we have also been more selective with a positive impact on our gross margin. Having said that, we are encouraged by the lower rate of decline in those region, which also helps the overall picture at country level and by improving trends in our backlogs, which would translate into additional business in coming quarters. On the next slide, we turn to Asia-Pacific. Let’s focus on the two largest countries, Australia and China. In Australia, sales were up 9.8% in Q2 2021 compared to Q2 2019, a robust result in a country where vaccination rates remain low, limiting visibility on the business. The growth is supported by positive price increases and small and medium contractors, especially in residential business, offsetting the loss of an industrial contract in mining last year. In China, sales grew by 16.2% compared to Q2 2019, restated from the large aero contract which benefit 2019 and creates volatility on the top line. Q2 2021 was up 30.9% versus Q2 2019, fully in line with Q1 same-day sales growth. This illustrates positive momentum, notably driven by government spending in infrastructure and automation. On Slide 13, we take a look at our overall H1 2021 sales performance. In our H1 sales of €7.1 billion were up 19.9% on same-day basis and up 16.7% on a reported basis. Organic same-day sales growth was boosted by a favorable pricing contribution on both cable and noncable products. Indeed, the positive copper cable price contribution was plus 4.6% in H1, with an acceleration in Q2 versus Q1. Noncable prices accelerated as well at plus 3.4% in H1 2021, corresponding to a 2.9% contribution to the H1 2021 sales, largely thanks to North America where price are up 6.5%. Indeed, while we expect cable price contribution to be lower in H2 as copper price started to rise in June 2020, we understand that key supplier intend to further increase price on noncable product in H2 and notably in Europe where they are still low compared to North America. Reported sales were also impacted by unfavorable foreign exchange and scope effects as Gexpro Services was deconsolidated at mid-February last year, offset by the acquisition of the utility business in Canada. We now anticipate for full year 2021 scope impact to be flat and the full year currency impact to be circa minus 0.4%, assuming spot rates remain unchanged. On Slide 14, we turn to our profitability by region. Overall, with adjusted EBITDA of €398.2 million in H1 2021, our adjusted EBITA margin stood at 5.6%, up 232 basis points compared to last year with a positive contribution in Europe and North America. Compared to H1 2019, the adjusted EBITDA improvement stood at 99 basis points, including a gross margin improvement of 59 basis points and an OpEx-to-sales improvement of an additional 40 basis points. This is clearly the result of Rexel’s transformation over the past five years. In Europe, adjusted EBITDA margin was up 277 basis points to 6.8%, with a gross margin improvement of 48 basis points versus H1 2020, mainly thanks to a catch-up in volume-related rebates. On the cost side, our OpEx to sales ratio has improved by 90 basis points compared to H2 2019 reported level, thanks to the strong volume recovery that more than offsets the full provisioning of higher variable pay in 2021. In North America, adjusted EBITA margin was up 285 basis point to 6.1%, coming mainly from a boost in gross margin, up 204 basis points compared to last year, thanks to a good pricing management, strong demand in proximity business and greater selectivity project and one-off effect reflecting recent price inflation on noncable products. The OpEx-to-sales ratio was also better than its precrisis level at minus 18.7% of sales versus minus 19% in H1 2019, thanks to the structural measures with – which accelerated during the pandemic, largely offsetting full provisioning of higher variable pay in 2021. In Asia-Pacific, gross margin was down 43 basis points on gross margin contraction related to negative country mix from stronger growth in China and negative banner mix inside China. OpEx were impacted by negative bad debt in China. Overall, adjusted EBITA margin was stable at 0.8%. Lastly, our corporate costs stood at €28.5 million, increasing versus last year’s level of €9.5 million due to corporate hosted project and higher long-term incentives. For the full year, we anticipate the corporate hosted costs to be close to €45 million, slightly higher than our normative level. On Slide 15, we focus on both the tailwinds and headwinds that marked our H1 performance. Both these effects are temporary and broadly neutralize each other overall. Let me highlight the main impacts, starting with the tailwinds. On top line, the first half clearly benefits from, what we call, the cocooning effect that boosted volumes and an inflation effect that boosted price, as mentioned earlier. Our adjusted gross margin benefited from three main effects; first, the mix in our business activity that favor proximity of our projects; second, a onetime effect linked to the recent inflation on noncable products; third, an increase in supplier rebates linked to exceptional growth in sales. Finally, our OpEx also benefited from a significant COVID-related drop in travel and expenses. Conversely, the half was also marked by some headwinds. On top line, we saw some shortage of products linked to the global scarcity in components. Moreover, project activity related to commercial and industrial end markets were still subdued due to the lower investment in new project during the pandemic, both at corporate and public spending levels. Our adjusted gross margin reflect the impact of a temporary lag in passing on price increase in some geography, especially on cable products and a higher volume of customer rebates linked to the higher level of activity. As for OpEx, they were impacted by all-time high bonuses and commission, both indexed on level of business as well as higher level of bad debt due to the uncertain environment. We anticipate the situation to normalize into next year. On the next slide, we turn to our adjusted EBITA bridge. Adjusted EBITA margin stood at 5.6%, up 232 basis points. This can be explained by different elements moving from the left to the right. Negative effect from reversal of the COVID-19 impact for 77 – minus 77 basis points as we benefited last year from governmental support and COVID-specific temporary internal initiative, then a positive operating result impact of 290 basis point from strong volume growth and price increase. On the previous slide, we then presented to you all the one-offs that impact H1 2021 and that overall offset each other. In the bridge here, we only disclosed the two biggest impacts that would almost not rise each other. On one hand, one-off gross margin gain on noncable inventory price inflation for 49 basis points; on the other hand, the positive impact, which has been offset by exceptional level of provisioning for variable pay, notably for our sales force in the context of better activity than anticipated in our initial budget. Lastly, we also have a productivity impact of 55 basis points that more than offset the inflation of minus 38 basis points. And since the beginning of the year, we have just added 350 people, mostly in Europe, to finance and to support the strong recovery and, therefore, fully benefit from last year’s structural initiative, notably in H2 2020. Let’s turn to Slide 17, now looking at the bottom-line part of our P&L. Let’s start with our adjusted EBITA of €298.2 million, up 103%. Reported EBITDA was significantly higher at €442 million, reflecting the positive impact of €44 million from nonrecurring copper price. Other income and expenses amount to a very small amount of minus €4 million, largely from restructuring charges that we anticipate will remain low in H2. We now target between €16 million to €20 million in 2021 below our normative level, which was between €30 million to €35 million. Restated from one-off costs largely related to the €5 million charges from the early redemption of the bond that we have refinanced by a sustainability-linked bond, our financial cost of net debt decreased by circa €6 million to €37.4 million reflecting the good work done on the balance sheet over the last years. In addition, we have the interest on lease liabilities for €20 million in H1 2021 versus €22.1 million last year. For 2021, while we anticipate broadly stable interest lease liabilities at close to €14 million, we expect a reduction of our financial cost of net debt from €17 million to circa €70 million, largely thanks to the reimbursement of our €300 million bond initiated last December. In total, net financial expense for full year 2021 should stand at circa €103 million excluding one-off costs compared to €121.9 million in 2020. Our income tax was up to €104.7 million, reflected an effective tax rate of circa 20%. For 2021 onwards, we confirm our indication of a tax rate below 30%. As a result, net income was €270.6 million versus a negative €439.8 million last year, and our recurring net income stood at a positive €241.7 million, up almost 200%, reaching all-time high level for the first half. On Slide 18, we turn now to our cash flow statement. We generated strong cash flow before interest and tax, reaching €160 million, reflecting the robust operational results and the efforts we made to manage working capital. If you exclude the typical year of 2020, the level of free cash flow is higher than in previous years, confirming that we are well on track to deliver our free cash flow guidance for the year. Free cash flow after interest and tax reached €30.7 million after paying €28.5 million in interest and €57.1 million in income tax. Concerning working capital, the outflow was close to €300 million, adding both trade and nontrade effects, due to the catch-up needed considering the low base in the pandemic and the recovery that put our sales well above the 2019 levels. Let me share a few detail on the evolution of CapEx. Gross CapEx stood at €45.2 million, implying 0.6% of sales, and we confirm our 0.9% of sales guidance for the year. The €72 million financial investment was mainly related to the acquisition of the utility business in Canada and the Freshmile operation in France. This leads to leverage 1.79 times, the lowest level since the IPO for H1. As Patrick already said, we anticipate this ratio to be between 1.5 times and 2 times in full year 2021, depending on M&A opportunities. Let me turn on Slide 19 to our balance sheet and liquidity picture, which shows that we have no significant short-term repayment schedule. As of June 30, we have €1.23 billion of liquidity, including €850 million in undrawn facilities on our senior credit agreement. As said at the end of April 31, we successfully issued €400 million sustainability-linked bond due in 2028 with a 2.125% coupon. This rate will increase if Rexel is not able to reach Scope 1 and 2 and Scope 3 targets. With this operation, Rexel was the first French noninvestment-grade corporate issuer of this sustainability-linked bond, confirming our ESG trade trajectory presented at our Capital Market Day on February 11,2021. With the cash, we have reimbursed a €500 million bond maturing 2025, which carried the same coupon. In the future, we will seize all opportunities to pursue doing financing operation. With that, let me now hand back to Patrick.
Patrick Berard: Thank you, Laurent. Now let me come to the 2021 outlook. As you know, following a better-than-expected start of the year and capitalizing on very strong growth drivers as well as the growing benefits of our digital transformation that materialize even more every day, we issued a trading update on June 29, raising our guidance for full year. Same-day sales growth of between 12% and 15%; adjusted EBITA margin of circa 5.7% and free cash flow conversion above 60%, and I am very confident, and we are all very confident on these new guidance. Before going to the Q&A, allow me to make very limited comments on two deep transformation that Rexel has undergone over the past five years and which are essential to capture the future growth. First of all, Rexel has become more and more and is becoming every day more and more a digital company. Digital penetration above 33% in Europe in Q2, and remember, five years, four years ago, where everybody thought that pure players could take away 60% of our business. We have done the journey. It’s increasing. There is more to come, and it’s a successful, well-integrated dimension. Second, increase our customer experience. Customer experience is now visible in many aspects. There is a web personalization process. There is a customer churn through algorithm. There is the next-best offer being adopted. There is a Track & Trace that everybody knows exactly this is a new dimension in logistics so that customer service does increase. There is an optimization of what the brand assortment should be in order to be even better with our customers. All of this is our strong elements to fuel the future growth and market share gains. There is also leaner organization with maximized customer-facing employee and products. Customer-facing employee is a driver of this business, and the right number of products that they need in order to do more customer, more SKUs, more digital. I have said that many years. I have said that daily in the company. It’s fully materializing every day, and it’s already there. Operational excellence during the sanitary crisis and despite the disrupted environment, everybody worked hard at getting the cash. Everybody worked hard at capturing the growth when it came back. Everybody worked out at passing the price increases and everybody worked out on managing the OpEx down. It’s a culture of the company. There is no disalignment. There is a culture of efficiency, which is now throughout the company that I could measure and enjoy during all these up-and-downs time. And there is a boost in selling low turnover stock also at the same time because digital allows this. That’s one piece of the equation. The second piece of the equation that will fuel the future, this is that the U.S. now is not ill U.S. It’s a solid U.S. and the second pillar of the group. Sales growth outperformance from investments in network and inventory; new regional organization, which surprised everybody when we did it; and the multi-banner model, we are rich on it today, good components for the future. We have a solid management team in place in every region, rather young, solid, refreshed teams in the regions are all elements of energy evolutions in the U.S., which is only doubling up. Strong OpEx management and improved commercial margin, we have transformed after the COVID into a structural benefit, what was an adaptation to the COVID, and this is a new base where the future can be built on. And allow me to say about the U.S., something I cannot disclose the numbers, but I can guarantee you with a lot of pleasure and satisfaction for me, four regions have adjusted EBITDA above European profitability average, and I can even tell you that two and almost three are close to the best European country. There is – to the question that very often you raise, is there any change one day that we can make as much money in the U.S. as in a highly profitable European country. It’s yes. It’s proven. This is part of our H1 as it will be part of the H2. Now at the time of – before we go to the Q&A, at the time of leaving the company in a couple of months, but leaving the CEO role as of September 1, first of all, I’m satisfied of all this transformation. There is no – I could say, proud, but it goes beyond. It’s really a sense of mission accomplished to some extent. It’s confidence. It’s supported a lot of, at this time, electrification will bring a lot of avenues, EV charging stations, photovoltaic, new services, a lot of thermal that we move to electric, whether it’s in heating, in transport, in the factories, IoT in the buildings. And beyond what we have seen so far, these are all growth drivers, and we are absolutely equipped in order to take them all. It’s local. It’s a people business. It has ever been, hand it will remain a people business. We need to make sure they are trained, they are motivated, that they are on the right target. They don’t get in too many agendas at the same time in order to deliver. But I think the way they work, the way they have proven how to work throughout the recent times based on all the investments we have made before, plus the digital hub and the data-driven company with a strong sense of data, measuring the efficiency at the ideal level, this is one of the strengths in order to cope with the future, which could be up and down and good and less good, whatever it is. It’s not what could count is how solid we can grab and be the first to grab what’s available. And it is, for me, quite gratifying to see that this is paying off in terms of results and market outperformance. And last, a special thanks to some of you. When you became impatient throughout but never leaving trust in what we were doing, in discussing with me that there was time to put a few things in the ground so that we would not close the market, helping me bridging on some ratios to be better understood or on some explanation that we should give better, notably the digital journey when does it pay off, how we should measure it. All these question you raised to me help me making the link between operations, efficiency and the shareholding world. And I have to thank you for it because you helped me – you guided me to some extent. Thank you for that, and now let’s go to the questions.
Operator: Thank you. [Operator Instructions] Your first question today comes from Andreas Willi from JPMorgan. Please go ahead. Your line is open.
Andreas Willi: Yes. Good morning, everybody and welcome Guillaume. I have two questions, please. First, for Patrick, I wanted to thank you for the engagement we had over the years. Very much enjoyed our discussions. In terms of the question, other than the economic cycle, what do you see as the biggest potential risk for the continued, positive development of the new business model that you and the team have established over the past years? And for Laurent, if you could elaborate a bit on the bad debt provision. You mentioned China. Is that specific to a customer? Or is that a broader concern that’s building in China? Thank you very much.
Patrick Berard: Yes. Good morning, Andreas. I will start with China one, short one. It’s mostly one contract, this is aerospace contract where we are working with public-related entity. We don’t think there is a bankruptcy risk by definition that they start to be slower in paying us, and they have been caught up by the mechanical provisioning method at a group level. And as we wanted to continue to put pressure on our local team, we didn’t carve out any of our classical methodology. So they were hit by a bad debt provision that is around €6 million in H1. To the major risk, well, I expected you to ask me what is the major opportunity. But to the major risk, I think the risk is that it’s plenty of opportunities and the risk is to miss one or two of these ones. Therefore, we need, for example, EV charging station. Is this a product? Or should we go into more servicing like we have done with Freshmile in order to get prepared for both? It would be the risk of missing a nice opportunity. There is not a risk on the fundamental way of running the business in a conventional way. Therefore – but there are such good opportunities in order to gain market share. I remember photovoltaic a couple of years ago and then of operating. Photovoltaic is coming back from a different angle. It comes back as a product. It comes back as an element of local grids. It’s come back and so on. Therefore, we need to be stronger in capturing these pockets but making sure it’s not always in a traditional way. There are software configurators that we need to embark even more so that we enrich. There are services attached to. We need to work closer with certain suppliers and suppliers recognizing that we can be away from them, not just to sell products, but to sell software, patches and renovation. In the business model, the value of the distributor could be broader with the same suppliers or additional ones if need be in order to be in the product, software and management of configuration and solutions. The only risk is could be to be too slow, but the people are convinced. We have done the early stage of it. It is accelerating in the marketplace. We discuss heavily and openly with fundamental key suppliers so that we – I think I’m confident we will have a role in this, and it’s not too far away.
Andreas Willi: Thank you very much, Patrick, and congratulations for the achievement.
Patrick Berard: Thank you. Thank you.
Operator: Thank you. Your next question comes from the line of Lucie Carrier from Morgan Stanley. Please go ahead. Your line is open.
Lucie Carrier: Hi, good morning, gentlemen, and thanks for taking my question. I have two questions. I will go one at a time. One is a bit more short-term oriented, and the second one is a bit more long-term. Starting with the first one, I wanted to understand how you think in a very operational manner around the second half of the year because, obviously, the guidance implies relatively minimal margin expansion in the second half, which, usually, you have a strong seasonality in the second half. So can you help us understand a little bit what has held you back here around the guidance for the second half or the implied guidance for the second half? Is it less price increase? Is it more supply chain constraints, logistical inflation? What is really holding you back?
Patrick Berard: Globally speaking, Lucie, we see – we saw in H1 and we see for H2 very two different components in Europe and in the U.S., between Europe and the U.S. First half of the year, and we knew how to do it because there was already something going on under the Trump administration for the imports. All was about inflation, price increasing, pass-through of all of this, and the volume came very slowly and the volume will go much faster, gradually speaking. We have reviewed with all our regions in the last 10 days. They all see the same trends. They all see volume coming back at a higher level of inflation already there, and there is still some to come, but the main driver will be the volume there. Europe is just the opposite. Europe got a lot of volume coming back. There is still a lot to come, but there is a lot of volume coming back. Industry in Germany came much earlier than in the rest of the world, except China. The proximity construction and the renovation that no statistic follow. It’s not like the new housing start. This is a diffuse very strong that, I would be frank with you, I never saw since I was in that business in 2003. And it continues to be because the fact that it is capped, either by product availability or installers, it may last longer than we think. It’s not a peak. Therefore, the volume and now come, in this volume, the inflation because a lot of suppliers have announced increased 1 time, 2 times. It’s not just a cable. To see the entire costs that now are coming into the product, and we will pass through and because it’s our duty to do so. And as much as we tell our customers, don’t commit to long-term pricing because that will be adjusted over time. Therefore, you would see two dynamics that support strongly the H2 and the guidance we have put together. Now if Laurent wants to comment more detail on the numbers, feel free. I mean I was trying to give you a sense for this duality in components, which we saw in H1, and we see now for H2.
Laurent Delabarre: No. But as you have seen, the headroom on the full year guidance is still high for the H2, meaning that as pointed out by Patrick, there are different scenarios depending on the situation of the market. With pass-through inflation, with scarcity of product, with the evolution of the pandemic, we have unexpected lockdown in Australia very recently. So there are a lot of moving parts. That’s why we wanted to have a broader range for this H2.
Lucie Carrier: Thank you very much.
Patrick Berard: And you had a long-term question or a short-term. And what’s the next?
Lucie Carrier: Yes, that was for the long-term one. And my second question is around the comments you’ve made towards the end of the presentation on the U.S. becoming the second pillar of the company for region, which are already at the average kind of European margins, some of the regions at a higher level. What do you need for the U.S. or North America more generally to really become as strong as Europe from a profitability standpoint? And which type of time frame do you see? And I guess it’s – probably Guillaume will be taking care of that now. But what is needed for North America to really become that second pillar? And what do you think in terms of time frame?
Patrick Berard: It will not be a second pillar in a sense of being a number two It’s like the group will work on two identical legs, meaning as good as and, in order to get there, an acceleration of the digital transformation. For good reasons, we had to migrate different database out of different systems coming from different banners and all of this. They are much lower yet in web sales, EDI sales but also the digital transformation by which we operate with data. Now they have internally similar data culture, Power BI available to all of it, the CRM available. And it’s now – but they are like two years behind in getting the – all the customer interface through the digital. It’s all done. It’s prepared. It’s being rolled out, and we will see in H2 improving, but this is where the potential lies. It’s not very long-term, but this is how to get the U.S. as good as Europe. And Europe improving because it’s not just the six points.
Lucie Carrier: Thank you very much. And thank you, Patrick, for all of the great conversation over the last decade. My best wishes to you.
Patrick Berard: Thank you, Lucie. It has been a pleasure too.
Operator: Thank you. Your next question comes from the line of Martin Wilkie from Citi. Please go ahead Your is open.
Martin Wilkie: Hey, good morning. It’s Martin from Citi. Thanks for taking the question. I would want to look at this very helpful slide showing the positive and negative sort of offsetting each other in the first half of the year, and obviously, you can see that in your bridge as well. When we think about the guidance for the full year, it’s obviously not that far away from your midterm targets. So it would be great to understand what you thought about the 5.7% for the full year. If we were to imagine those positives and negatives for the year, are they also fully balanced for the full year? And for the 5.7%, it seems either sort of new starting point or has some cost savings been brought forward? Or just to understand a little bit about how you think about those puts and takes for the full year guidance. Thank you.
Laurent Delabarre: Yes. Thank you, Martin. Thank you for your question. Yes, we have been quite detailed in H1 with these headwinds, tailwinds. And today, the assumption we have in this 5.7% EBITDA margin for the year is that, yes, we have this kind of continuing trend with the effect offsetting each other. So I think it’s a fair basis to build on the year after.
Martin Wilkie: Okay, thank you. And can I just ask a question on the inventory revaluation? Is that something that would normally happen if you have a meaningful price increase to your noncable business that you would ordinarily revalue inventory? Or just understand what was the trigger for that happening. Was it just a level or some other events that caused that point of revaluation?
Laurent Delabarre: In fact, it is – when we buy product and product price increase, we increase directly the price to the customer, and we manage. There is a negotiation, of course, so it’s not a mechanical impact, but there is a strong negotiation, and we manage to pass through the price to keep the same margin on this new price. But as we have purchased the product at a lower price, we have a one-off gain linked to the inventory until the inventory turn, which take around two months and arrive to the new purchasing price. And in that lag we – and that’s what most of our team are doing. If you manage to pass through the price, you get a one-off impact linked to having purchased inventory at lower price. This one historically on the table one are followed very closely and are restated from our performance because there has been new swing in the past – in our performance. And in the current momentum, you can see in the breakdown of the P&L that the one-off impact on copper cable is €44 million in H1, and this one is adjusted from our EBITDA. That’s why we talk about adjusted. But on the rest of the product, historically, the increase were far lower. And even over the last 10 years, we had some deflationary product like all the lighting products, PV product and so on. But since we say the last 12 months, we have a strong increase in price on noncable products. And so being able to pass through well, and as pointed out in the introduction slide, we have trained our people. We have clear message to pass through the inflation. We had a onetime gain on this inventory purchase at a lower price than the current one until we completely turn our inventory. And when prices are increasing, it is a one-off gain, and when price stabilize, this gain disappears. Hence, this kind of one-off tailwinds.
Martin Wilkie: Just want to understand, have you written off the inventory before you’ve sold? Or is it more that you just got an exceptionally good gross margin when you sell the product? Just to understand sort of what the position of the inventory on the balance sheet as at the end of Q1…
Laurent Delabarre: No. It does – just a – yes, there is no – the inventory is a classical one. The product that we have sold were sold integrating the latest price increase but having been purchased at a lower purchasing price, generating one-off higher gross margin.
Martin Wilkie: Okay, that’s much clear. Thank you very much.
Operator: Thank you. Your next question comes from the line of Phil Buller from Berenberg. Please go ahead. Your line is open.
Phil Buller: Thank you. Good morning. Thanks for taking my questions. Firstly, just as a follow-up to the guidance questions already asked, if I can try and be a little more specific. I understand the puts and takes that we went through, but it would be great if you could offer some quantification, Patrick, on what you mean by that being strong upside potential. Is that a reference to the 12% to 15% growth? Or is it more a reference to the upside risk to the margin or perhaps it’s both? Basically, any quantification of what the definition of strong means to you would be great. And on the opportunities over the medium term, it is all very exciting. It makes a lot of sense. I was wondering if there are any other potential constraints that may emerge that we’re not yet talking about or thinking about, not on the supply side specifically as I think those are quite clear, but perhaps on the customer side. I guess I’m wondering if there’s a risk of there being a shortage of engineers to actually install and realize these higher volumes of installation of products in the future. Basically, is there anything to think about there that perhaps isn’t currently a key topic of the discussion? Thanks.
Patrick Berard: Generally, what I mean by strong, when you rely on a market, which is 60% and then 70% and then only 80% back to activity, and you still see 15%, 20%, 25%, depending on the month, of underactivity coming back gradually to more normal levels, that is what I mean strong, whether it’s for the second half of the year or even for next year. I’ll give you an example. I was reviewing the Florida business with the lady running it, and when she said we’re an entertainment business for the second half of the year is coming back, not at the level of what is both before because international tourists will miss missing, but the Americans will go and are already booking for the last quarter of the year, and it goes for the entertainment at Disney and so on and then the hotels. And then even the airport which had closed some modification now are freeing up the money in order to be able to go back to not fully as it was initially planned but already much better than it was very recently. The same happens in industry. Now that they have more to produce, even if they are short of components, automotive industry is fully backed, meaning there is a volume that come back. Airlines, they start. Airports were closed and many of this. And then remember, we – there is a maintenance. There is a need for this. There is an evolution. There is something to be freeing up. And you see the demand coming back, and you see the nature of the mix telling us that it’s coming back. Therefore, I see top line and at the same time because we have put the prices through, and it should be also because we manage our OpEx, an EBITDA contributor because we work from a drop-through standpoint. In the moment, there is growth at the top line. We are very keen on making sure that there are minimum level of drop-through contribution to the bottom line. In this world, we have learned to manage like this. There is not a business review where we don’t look with the operations guys or ladies and girls and say, hey, what is your drop-through? The contribution of any top line to the bottom line. Therefore, I feel confident, when I say strong, it’s not one at the cost of the other. As I have told you, it’s one in order to fuel the rest and make sure there is a benefit to any growth. By the way, we have decided recently not to take certain jobs or not to take certain customers even in the U.S. where the volume is not yet there. But we knew, given the inflation and the condition and people going back, two years ago, I had an offer for this, could you do it to me? we said no. There’s also Rexel’s ability that – to say no to – just not to fuel the top line, but it has to be something that fuel the rest. Therefore, to your question, yes, and there might be a lockdown in a portion of the world one day, they will reduce. But so far, I see more opening, capturing back with former levels. Therefore, I see it’s strong. There is also a backlog. We have a backlog, and the overall backlog is up to the best level of the past. By the way, the backlog is due to two effect; the demand coming back, but the fact that the market is all capped. It’s capped by the number of workers can effectively do as much as it is capped by the product availability that give longer term, and some people are looking for something in 12 weeks, 18 weeks and 20 weeks because it will not be available either manpower also. Now there is another effect. If, for example, with the sanitary pass, people from eastern country could come back and help the German industry, there would be an even faster growth because today, this is a lack of available manpower that create the, let’s say, the high-level flattening but the lack of going beyond. There is demand in electrification, which materialized. It was part of the Capital Market Day hypothesis. I can guarantee you that I see it. I see it in many aspects. But it goes – the demand is faster than the ability to serve. Therefore, it will be strong for a longer term also.
Phil Buller: Okay, great. Thank you very much. And if I may, I’d just like to thank you for the discussions over the past 18 years or so as well. I know we haven’t worked together, but it feels as lots of other people missed you and having you with those interactions and value. Thank you for that. Best wishes for the future.
Patrick Berard: Thank you. It’s nice to hear. Thank you.
Operator: Thank you. Your next question comes from the line of Andre Kukhnin from Credit Suisse. Please go ahead. Your line is open.
Andre Kukhnin: Good morning. Thank you very much for taking my questions. I wanted to ask a broader one on M&A opportunities that, Patrick, you mentioned when we talked about capital structure and potential use of cash. Is this something that is heating up in terms of the pipeline? You obviously announced some deals earlier on in the year. And how do you see the kind of cadence of that given the transition from here to beyond?
Patrick Berard: M&A, I mean, the M&A we have done a little bit this year back, and there is one in Canada, and there’s a service company on supervision of EV charging stations that we have done in France. There are many opportunities in the market bubbling up, not yet very openly put on the table but people talking about it. And there is a little bit of an acceleration in the U.S. because there is this capital gains tax that some people think, well, do I take that risk? Or do I try to get something done before the end of the year? And this is shaking up a little bit some family business that knew that they would have a succession or something else, issue. At the time, there is a market going up and whether they would like to take it, invest for many years or prefer not to invest and capture the value of the company. We see that, yes, there is more, let’s say, touch points, telling us that we need to be adjoined. There will be no difference, whether it’s Patrick Berard or Guillaume Texier. It’s part of the strategy. Guillaume knows. We shared with Guillaume all of this. And Guillaume has been living in the U.S., and he knows extremely well that when there are opportunities in the U.S., it is worth taking them as much as they do. And it is clear for the Board also that given the deleverage that we have achieved and the cash available that either is something reasonably good to make, we could go for it.
Andre Kukhnin: Thank you. And if I could ask a couple of just detailed follow-ups on the margin side. You talked about higher volumes driving the positive rebate effect and, in some areas, the negatives. So I wonder if you could put a couple of numbers on that, maybe what sort of size of a net positive effect that has been in H1 and how much of a drag were the smaller negatives.
Laurent Delabarre: No. But we have guided on this – on the one-off and this 49 basis points, which includes mostly the one-off gain but also a bit of additional rebates. But basically, we discuss with the supplier, and we assess our purchasing volume, which are the one that we embed in our budget. And today, we are far better than the budget. Mechanically, we’ll get some upside there, but then there are still some reallocation of volume between one supplier to the other one to optimize the rebate. So it’s too early to give any figure at this stage.
Patrick Berard: And some scarcity. How do we treat that? Do you sell a supplier, hey, it’s not my fault they couldn’t get because you couldn’t deliver, and we are part of it and – or would they accept to offset for some of it pro forma? Last year, during the COVID, they were able to also support us by not maximizing as much as they could have done on the rebate side, and probably there is – there are room for maneuver. But we have – I don’t know, there would be discussion by the end of the year. There is too much up and downs by region, by country. Some of the rebate scheme are based on country performance, some others on product line performance. I mean it’s not a statistical average number that apply to the top line, and therefore, we cannot get more than this. It’s too far from the end of the year. That is the kind of thing we have set in November. It’s not something we can do today.
Andre Kukhnin: Got it. And if I may, just on the lag of passing through raw materials impact that you mentioned, was that significant in H1 that was negative impact on profitability from the lag?
Laurent Delabarre: It is in a couple of country where, again, with this inventory on which you can play because you have bought it at a lower price. There is a competitive environment, and some competitor willing to gain market share prefer to reinvest this inventory into a lower price to get some new customers. So there is this fight on, I would say, on The Street in some countries or in some regions. So it has had some couple of effect here and there. Again, when we wrap up everything, that’s why at the end, the tailwind and the headwinds in different compartments of the business at the end offset each other. And usually, this competitor environment is very sharp until you turn completely your inventory or there is a new stronger price increase. But usually, price stabilize, and there is a first side, the first two months until you turn your inventory.
Patrick Berard: The instruction to the teams is stay cold blood. The fundamentals are there. If somebody tried to play something for two months, get – let it do. There are fundamental growth drivers that should be taken at the right price and the right price to get the right margin. This is the inflated one. Therefore, the instruction are very clear.
Andre Kukhnin: Very clear. Thank you very much. Patrick, thank you. Thanks a lot for the candid and clear discussions over the last few years. Really appreciate it and look forward to continuing with Guillaume. Thank you.
Patrick Berard: Thanks a lot.
Operator: Thank you. [Operator Instructions] Your next question comes from Supriya Subramanian from UBS. Please go ahead. Your line is open.
Supriya Subramanian: Yes. Hello, good morning. Thank you for giving me the opportunity to some questions. I just wanted to get your thoughts around outlook between the various end markets, resi, non-resi as well as the renovation market into the second half and as well beyond that, especially non-resi trends in North America and the renovation trends in Europe. And my second question is relating to the supply chain constraints. I realize it’s still early days into the third quarter, but how do you see that progressing so far in July? Is it worse, better off or pretty much the same as 2Q? Any sort of conversations that you’ve had with your customers relating to this? And yes, just wanted to get your thoughts on that. Thank you so much.
Patrick Berard: On the resi, non-resi. The big driver in the resi today is renovation, renovation which is very diffused, for which there is no fundamental statistic available before you don’t know in anticipation. In full fairness, we were surprised how fast, how much it came across the board. It came both in Germany, in France, in the Nordics as much as in the U.S. because it was like driven probably by a way of life that resulted from the COVID pandemia, the people relocating and kind of stuff. This is probably a multiple of more than 2 times what we were used, and it’s my guess when I said that. I have no statistic in my hands, but it’s an observation, but everybody else we were really surprised by. And by the way, we are also surprised by the mix it creates. When there is a new building to be made or a new home to be constructed, we knew roughly what it is all about here. At a sudden, there is a deformation of the mix because a lot of renovation is, for example, a little bit less in cable and more in lighting, a little bit less in this and more in that. It’s not something proportionally strictly equivalent to a new building. On the other hand, we see also people taking a chance of reinjecting the money they have put aside into something for the longer term, and they go for comfort. They go for safety, new data. They equip themselves for a new way of life. And there is also, in the product assortment, another dimension, which results from, at the same time, the governmental directional for ESG, at least in Europe, taking thermal solution away into electrical solutions. It’s true for heating, for example, where heat pumps are probably doubling or tripling today than a year ago and in term of people considering this rather than putting the fuel or gas boilers. And this is a shift to electrical devices, which is only at the beginning, and I don’t know exactly how big it could be because it’s difficult to anticipate. But it’s definitely in some countries, not in all, but in some countries firming up, whether it’s in Germany, in France, in Belgium or in the Nordics, to take a few. Then to the – what was the second part? I’m sorry, I lost.
Supriya Subramanian: On the supply chain.
Laurent Delabarre: On the supply chain constraints.
Patrick Berard: Supply chain constraints. It really depends on what it is. For example, supply chain constraints, we were short of metals, steel. This will stabilize at some moment in time, and it’s a little bit less tense than it was. It’s still short half, but it’s something that I think in the next 6 to 12 months will be a result because it was fueled a little bit by sudden price increases then people trying to build inventories, then there is nothing in the pipeline until the production allows this to be a result. When it comes to plastic, it’s more fundamental, and it will last longer. But when it comes to electronic components, all the news I’m hearing is that it’s not – nothing good before 18 months, meaning we will have to juggle around either with new qualified solution with new – and I know that our key suppliers are working on finding alternative suppliers or alternative products for them to requalify the same function by different suppliers or different components and in order to try to go around the real shortages, which may last long in certain electronic components. And because so many industries are going after the same components, then there is a real imbalance between offer and demand. Now price is going up. It obviously also allows for people to think of alternative, more expensive solutions that could give some relief, but there is a physical constraint on life. The time it takes to build a line and the money it takes by which you need to be sure that there is 8 or 10 years of demand, otherwise, nobody would invest, this is some of the unclear situation around some electronics components. It is less true for the rest, except copper because the time it takes to open a mine and it takes to do the first transformation step does not mean there will be a lot of relief. But probably you asked the cable manufacturer, and I already gave you the answer because it’s a fact that we will be short of raw material and short of transformation capabilities. It takes three to four years from a mine, and it takes 18 months minimum to two years for a transformation. Therefore, we are – we will be under tension probably for the next two to three years. In any case, we are getting prepared. Rexel is getting prepared for this kind of. We talk regularly with any level and top level of all our suppliers in order to find out, and we are getting adjusted to. Therefore, you see me very cold blood on price increases because all of this will not be for free, and the inflation dimension to it is probably not something that will go backwards easily short term. And that’s a new component in our environment, and we have to live with it rather than trying to escape. That’s a new game. That’s the way I see it.
Supriya Subramanian: Great. Thank you.
Operator: Thank you. And your next question comes from the line of Alfred Glaser from ODDO. Please go ahead. Your line is open.
Alfred Glaser: Yes, good morning. Thank you for taking my questions. First of all, I wanted to congratulate you, Patrick, for all that you’ve achieved and also your sharing information with us and all the details you gave us. That was always very, very helpful. On the business side, I was just wanting to come back to the way you work with – differently now with the suppliers. Could you share with us in which direction you go regarding sharing of data and exchanging of digital items with your suppliers? How is the interaction evolving? And how do you exchange data right now regarding demand, customers and so on?
Patrick Berard: Well, first of all, it’s a good subject. At the same time, it’s a subject highly sensitive. Everybody wants to have customer knowledge data. We don’t share at this level. It’s a road generally. We are ready to share aggregated numbers about the mix, about the trends. During the COVID and after the COVID, we were giving index, we were calling this pulse, what was going up, what was going down and for what and when and so on. We shared – we share more accurate data on our needs for product families, product scarcity and kind of thing, which is the granularity by which they operate. But otherwise, we share aggregated numbers, but we never share and we never deliver customer numbers, not even at branch level. I try not to because sometime it’s easy to find out who are the main drivers then customers driving at a branch level, most of it. The data will be a key component of tomorrow or future, and in the distribution, we have a lot. We have a huge number of data. There is also the data – relative data between competitors, relative data in the way it is being used by installers, maintenance. And we have reserved 27 different segment of customers. And we have also 300,000 data per country, active data being sold each year. And therefore, this is a huge, and we have thousands and thousands of order line per day, 100,000 of order lines per day that give us exactly how customers behave. We are rich of this data, and we will get even richer of it in order to be even more efficient ourselves. I have no problem to reflect what we see from the market so that everybody improved the performance but in an aggregated mode. And by the way, there are rules and anti-competition rules that must be respected in all the markets. And I’m very, very – and I know Guillaume will be exactly on the same page. And rich of data, rich of sharing the good aggregated levels in order to improve. For the rest, we don’t go beyond that.
Alfred Glaser: All right. Thank you for these explanations, and good luck to you.
Patrick Berard: Thank you.
Operator: Thank you. [Operator Instructions] Your next question comes from Martin Wilkie from Citi. Please go ahead. Your line is open.
Martin Wilkie: Yes. Thanks for taking the follow-up. Just a clarification on pricing, and you commented that it was 9% in North America, excluding cable. And looking at last year, it doesn’t seem there was a particularly different base of comparison. I just wanted to understand what drove such a huge increase in pricing in North America. Thank you.
Patrick Berard: Americas saw two sets of price increases. Last year, it was the imports on certain products, and you remember that Trump said this is it, and we got thousands and thousands of lines where it was always this increase, not kind of. By the way, we learned how to pass price increases because there was no other choice. Now come two price increases, scarcity because, for example, many products were made in Mexico. Mexico, through the COVID, reduced heavily their ability to produce, and we couldn’t get the amount we needed, and it has created an inflation. If you pay more, you get more. And now come the inflation and came in the last four, five months. the unit cost inflation that were passed, whether it was raw material driven or whether it was driven by subcomponents that multiplied by 10 or sometime even more, I speak of the electronics, so that the end product, the product we buy had to absorb this. Therefore, there are different natures of. We live with it. We have even produced internally, what I call, the inflation manifesto in our – so that everybody know what are the right practices to be done and when and how, what to be put in contract with the customer or not, so that we try to be sure that depending upon whatever the cause are that in an inflationary environment, we don’t get major margin squeeze beyond only the difference between the moment it is being told and everybody is being – that is being told to us and the moment it’s being told to everybody that as of it happens. And this become a real management issue, which we have sold like this, and I’m very confident. Now it’s not the end of this game. It could go up. It could go down temporarily, and we are also prepared for that because they happened – after the up, there is also money to be made when it goes down. But let’s wait for the moment it happens, then we can comment on it. It’s not for tomorrow.
Martin Wilkie: And we’ve heard other companies talk about – you mentioned direct components and things like that. And also, we know there were some shortages because of bad weather and supplier closures, things like that. Have you noted a lock in volume? Or is it simply that you pay more, and you get more as opposed to locking in that volume for the next quarter or so?
Patrick Berard: No, we have to pay more to get the same. It’s not to pay more to get more. We have to pay more, just to get what we need. And…
Martin Wilkie: And then you pass that to your customers.
Patrick Berard: I’m sorry.
Martin Wilkie: And then you pass that to your customers through pricing.
Patrick Berard: Yes, absolutely. Absolutely.
Martin Wilkie: Great.
Patrick Berard: And by the way, the weather this year is probably the worst year that we can imagine, and whether it was a winter in Dallas, as everybody knew, and it was not just that it was stopped for three, four days. It was like three weeks of disturbances on many fronts. And the fire is now – and the first hurricane that came through. And in Europe, the Belgium, the Germany and South of London and all kind of things, we faced many disruptions of many kind, which, by the way, do not help on the supply chain. It does not help on the availability of product, which is needed where and how, but increase our role as a distributor with proximity how to help the demand to be satisfied in all these very unstable and quite hectic environment.
Martin Wilkie: Great. That’s really helpful. Thank you.
Operator: Thank you. There are no further questions at this time. I will hand the call back for closing remarks.
Patrick Berard: Well, as I said before, I got a very enjoyable time running this company. I got a very enjoyable discussions with you in bringing this company back to credibility, answering your questions, your views, matching expectation from the financial community that you represent, the shareholders and getting your support by putting transparency, facts, stats, description. And I thank you for all your time that you took in order to understand all of this and, at the same time, getting this company on the right track. And I’m absolutely convinced that Guillaume will really capitalize on it. We had several exchange of views. It’s going to be a smooth, constructive transition. I remain available for him for many months. We have agreed on the way how to get this done, and I feel extremely confident that – I know every CEO change creates fears. I don’t have any fear. Therefore, I would like to thank you for your time, and I’m available to the company and Guillaume to make it happen nicely. I thank you. Bye-bye.
Laurent Delabarre: Thank you very much. Bye-bye.